Operator: Greeting, and welcome to the Chegg, Inc. Second Quarter 2016 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a remainder, this conference is being recorded. I would now like to turn the conference call over to your host, Mr. Dave Borders. Thank you, Mr. Borders. Please go ahead.
Dave Borders: Good afternoon. Thanks for joining Chegg’s second quarter 2016 conference call. On today’s call are Dan Rosensweig, Chairman and CEO; and Andy Brown, Chief Financial Officer. In terms of structure, Dan will open with a discussion of Chegg’s business, and Andy will follow with a review of our operating results, and our outlook for the third quarter and fiscal year-end 2016. A copy of our earnings press release along with our investor presentation is available at our Investor Relations website investor.chegg.com. A replay of this call will also be available on our website. We routinely post information on our website and intend to make important announcements on our media center website at chegg.com/mediacenter. We encourage you to make use of these resources. Before we begin, I would like to point out that during the course of this call, we will make forward-looking statements regarding future events, including the future financial and operating performance of the Company. These forward-looking statements are subject to material risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. We caution you to consider the important factors that could cause actual results to differ materially from those in the forward-looking statements. In particular, we refer you to the cautionary language included in today’s earnings release, and the risk factors described in Chegg’s quarterly report on Form 10-Q filed with the Securities and Exchange Commission on May 3, 2016, as well as our other filings with the SEC. Any forward-looking statements that we make today are based on assumptions that we believe to be reasonable as of this date. We undertake no obligation to update these statements as a result of new information or future events. During this call, we will present both the GAAP and non-GAAP financial measures. Our GAAP results and GAAP to non-GAAP reconciliations can be found in our earnings press release. Now, I’ll turn the call over to Dan.
Dan Rosensweig: Thanks Dave and good afternoon, everyone! We had an excellent Q2 and a great first half overall. We enter the second half of the year excited as we believe we are on track to meet our full year revenue, subscriber and adjusted EBITDA expectations. And after two years of hard work, this is the semester in which we expect to complete our textbook transition as planned and exit the year as a 100% digital business. It's a very exciting time in the education industry and for Chegg. On today's call we will cover the macro trends in education that we believe favor Chegg's direct-to-student model for affordable, high quality, on-demand services; walk you through some of our key business drivers to help you better understand the business; provide an update on our two newest businesses, Imagine Easy's writing tools and Chegg Test Prep; give an overview of our textbook business and the back-to-school season; and as always, Andy will take you through our Q2 financials and guidance for Q3 and the rest of the year. To appreciate how big the opportunity is for Chegg, it is important to understand the size of the market, how influential Chegg has become, how dramatically the industry is changing, and how these changes uniquely advantage Chegg. In the United States today, about 15% of the population is a student in middle school, high school or higher education, and as a nation we will spend in excess of $1 trillion this year on the sector, or more than 5% of the total GDP. According to comScore, Chegg now reaches more than 40 million unique visitors annually, 10 million visitors monthly, and we are growing in part because of the current education system, which is not built to serve today's modern learner. From mastering basic writing and math skills, to navigating a college landscape decimated by budget cuts and bureaucratic resistance, students today face higher costs, fewer teachers, and less support from their schools, both in and out of the classroom. And while colleges seem unable to keep pace, the fact is that the rate of change, driven by technology and by students is accelerating. Consider the incoming class of 2020, born the same year as Google, raised on the Internet and services like Spotify, Uber, and the iPhone; their experiences growing up and learning are very different than our own, and faced with rising costs and diminishing resources in higher ed, today's student has an entirely different view of what they need to learn, how they can learn it, where they can learn it, how long it should take, and how much it should cost. To serve their evolving needs, Chegg reaches students starting in middle school, and we stay with them into their early careers. Our direct-to-student services include writing help, test prep, college matching, required materials for less, online homework help, on-demand live tutoring, internship search and soon careers. We believe our strategy of putting the student first and making all of our services affordable, online, and on-demand is positively impacting our business. In Q2, Chegg Services subscribers grew faster than it did in Q1 reaching 760,000 active subscribers in the quarter, setting a record for subscribers. As students return to their studies this fall, we expect to see similar growth in the second half of the year, further demonstrating the strength of Chegg Services. Our largest Chegg Service, Chegg Study, is considered indispensable by students because they know it helps them master their subjects, pass their classes, and ultimately graduate. We base this on monthly renewal rate that hovers around 80% and from the direct feedback students give us in social posts and on surveys where 90% of students' report that Chegg Study helped them get a better grade. Chegg Study today has a massive audience and a fast growing reach and fast growing engagement, with students continuing to access it about once per week on average while consuming more than 80 expert answers and textbook solutions per student in each quarter. For a little color on how rapidly we are becoming core to the learning experience, in the first half of this year, students asked and accessed more questions and answers than they did for all of 2015. And when students prefer or need the help of a live human being, they are increasingly turning to Chegg Tutors, where we continue to see growth in students, tutors, and overall tutoring minutes, which grew over 65% in Q2 alone. We believe these numbers reflect the increasing popularity of online, on-demand human help for learning at the college and high school levels. As a result, we anticipate Chegg Tutors will be our fastest growing business over the next few years as students become more familiar with the service and we are able to offer even more tutors across even more subjects while keeping it incredibly affordable for students, who pay as little as $0.40 a minute. Right now, a student can find a tutor on Chegg for everything from Astronomy to Zoology and believe it or not, one of our most popular subjects is Computer Science, where we are proud of the fact that we tutored nearly three times as many students in Computer Science in the first half of this year than Caltech's entire student population and we're just getting started. As I mentioned earlier, writing continues to be one of the most challenging areas for students in high school and college and with Imagine Easy we now offer a service that we believe is already indispensable to tens of millions of students. We are very pleased with the integration thus far and continue to be excited about the potential upside this business has to offer. Although many of you may not have heard of these services, ask a student about EasyBib for example, and you're likely to hear that they not only know it, but they rely on it, with the average user sessions lasting more than eight minutes. It's clear given the popularity and time spent with Imagine Easy that students value Chegg's writing tools, so let me articulate what they mean for Chegg shareholders. The acquisition of Imagine Easy nearly doubles Chegg's reach to 40 million unique visitors annually, and expanding our brand into junior high and high school, therefore extending the duration of the relationship we can have with students. As a result, Chegg now has the opportunity to acquire customers even more efficiently, continue to scale our brand, and cross-promote the Chegg Services that students use to improve their outcomes. And we continue to see great success cross-promoting Chegg Services on our network. To highlight just a couple of examples: the attach rate for Chegg Study from our print customers grew by nearly 30% year-over-year in Q2 and we continue to see about 50% of Chegg Tutors' customers coming directly from Chegg Study, again showing what we believe is the power of the Chegg connected learning network and how these services complement each other. Test Prep, which we launched earlier this year, is another excellent example of a service that will benefit from our increased reach into middle school and high school students, allowing us to acquire customers faster and at a lower cost. On July 5, we moved our ACT test prep product from out of beta to a paid service. We launched this service in the middle of the summer to ensure that it is ready for students before the big test taking season which occurs in the fall. As we've noted before, this is a brand new service so we have not assigned any near-term financial expectations. We're investing in the service this year with the expectation that that it can build scale in 2017 and become a meaningful revenue and profit contributor in 2018. Finally, we are just a few weeks away from our next textbook rush, which we expect will be the last rush where we actually own a physical textbook. It's been a long and challenging road, but we continue to see our textbook business as a cost-effective way to build our brand, acquire customers, own the direct-to-student relationship, and add to our data platform. On top of that, the bright orange boxes in which we ship textbooks are a great branding vehicle for Chegg and have proven to be a very valuable channel for brand partners to reach our coveted demographic. This fall, we are proud to be partnered with Tide, Ulta, Zipcar, and Shutterfly just to name a few of the brands who are helping us deliver the little extra surprise and delight that students love and look forward to from Chegg. We are very excited as we complete our transition to an all-digital business by the end of this year. We believe that the growth we've seen in the size of our network which now reaches 40 million unique visitors annually, the more than 30% growth we are seeing in Chegg Services, and the substantial growth we have seen in our adjusted EBITDA reflect that our strategy of putting the student first and going all digital is paying off. We believe the academic and economic trends favor Chegg's approach of offering affordably priced, high quality, on-demand digital services directly to the students. Our brand, our reach and the power of our network are already driving high growth and high margins within Chegg Services and we expect and look forward to even better results moving forward. And with that, I will turn it over to Andy to take you through our financial performance in more detail. Andy.
Andy Brown: Thanks Dan and good afternoon, everyone. Today I will discuss our financial performance for the second quarter and our outlook for the third quarter and the full year 2016. I will also be discussing certain items that can be viewed on the Investor Presentation that is posted on our IR website. The momentum that we saw in the first quarter continued into Q2, and it seems clear that the investments we are making in brand, reach, on-demand services and our data platform, along with the important transition to a pure commission-based textbook model are paying off. As a result, revenue and adjusted EBITDA for the second quarter came in at the higher end of our expectations. For Q2 non-GAAP revenue of $40.7 million was primarily driven by growth of Chegg Services revenue of 33% to $29.9 million. We continue to see strong subscriber growth and engagement, particularly in Chegg Study, with growth rates similar to fiscal 2015, but on top of a much larger user base. For those investors new to the Chegg story, when we entered 2016 we said we would be modeling our revenue on a non-GAAP basis. This is due to the transition from owning print textbooks, where we record 100% of the transaction value, to a new revenue model where our partner Ingram will own the print textbook inventory and we will record an approximate 20% commission from each transaction. We expect that this textbook ownership transition, which started in 2014, will be completed by the end of this year, at which time both revenue and non-GAAP revenue will be the same. We did this to make it easier for investors to monitor the underlying growth of the business under the new model. This demonstrates the real growth of our business despite declining GAAP revenues. We believe that the financial benefits of this transition have been meaningful for Chegg, freeing up capital once used to purchase print textbooks and allowing us to invest in future growth opportunities. At the same time, we reap all the benefits of delivering millions of textbooks to students, including low-cost customer acquisition and building the Chegg brand, while improving gross margins. In fact, our gross margins were higher than expected at 59.7% in Q2, resulting from increased benefits and synergies from our learning services with much of the incremental revenue going straight to the gross margin line as services like Chegg Study have relatively fixed cost structure. In other words, as the services grow and get to scale, our margins should continue to increase. As a result of the strong revenue and gross margin performance, our adjusted EBITDA came in at $7.2 million, more than double the prior year and another proof point that our new business model is working. Looking at the balance sheet, we ended the quarter with cash and investments of $50 million; down from $64 million in Q1, primarily as a result of the $25 million we used to purchase Imagine Easy Solutions. In addition, the receivables balance with our partner Ingram was $36 million, much of which will convert into cash in early 2017 per the contract terms. As expected, Chegg's legacy print textbook inventory declined to $12 million from $21 million in Q1, and we expect the balance to be substantially liquidated by year-end. Overall it's been a great first half, Chegg Services continue to drive our revenue and profitability growth, the transition to an all-digital model is almost complete and we enter the second half of the year with great momentum as the new school year starts later this month. As we look to the remainder of 2016, we feel confident that the success we have achieved in the first half will continue for the remainder of the year. Specifically, for Q3, we expect, total revenue between $65 million and $70 million, non-GAAP revenue between $48 million and $52 million with Chegg Services revenue between $28 million and $30 million, gross margin between 38% and 40% and adjusted EBITDA between a loss of $2 million to breakeven. For fiscal 2016 we expect total revenue between $240 million and $255 million, non-GAAP revenue between $182 million and $192 million, with Chegg Services revenue between $124 million and $132 million, gross margin between 49% and 51% and adjusted EBITDA between $16 million and $21 million, more than tripling what we achieved in 2015. In closing, I'd like to reiterate Dan's comments. It's a great time to be part of the Chegg story. Already millions of students are realizing our unique value proposition of delivering high quality, low cost, on-demand services that are improving their outcomes. As a result, we are seeing continued growth for Chegg Services and believe we are just at the beginning of what Chegg can offer students. We are changing the educational paradigm as each new class of students are able to access our services anytime, anywhere. We believe all of this supports our long-term financial model of greater than 30% Chegg Services revenue growth, greater than 60% gross margins and at least 25% adjusted EBITDA margins. With that, I'll turn the call over to the operator for your questions.
Operator: Thank you. Ladies and gentlemen, at this time, we'll now be conducting a question-and-answer session. [Operator Instructions] And our first question comes from the line of Mr. Alex Paris from Barrington Research. Please proceed with your question.
Chris Howe: Good afternoon. This is Chris Howe sitting in for Alex Paris. Can you discuss the leverage effects you're seeing from Imagine Easy? Specifically perhaps what is the -- how did the Imagine Easy attachment rate to other service has been trending thus far?
Dan Rosensweig: Yeah, hi. This is Dan. To be honest with you, we didn’t close a deal until June. So in the quarter, we hadn’t done any integration. So the real integration started before the August September quarter, but the integration is going really well. The concept there is about 30 million students from no school, high school and college that use Imagine Easy in the course of the year and what will happen is any time a student goes in to use the service, to create a citation, bibliography plays [resin] check, grammar, whatever they choose to use, that we will know who they are. We'll know the book they're writing it for and we'll be able to immediately let them know that we have Chegg Study or Chegg Tutors or if they're in high school test prep. So given the success we’ve had in other attach rates as I said on the call that we saw 30% increase in attach rate of Chegg Study users to Chegg Textbooks and that’s 50% of the people using Tutors are coming from Chegg Study, but we know this integrations work really well and so we’ll extend our reflow and costly cuts of our acquisition. And that’s why the second half of the year we actually expect the growth rate higher than we did in the first half of the year. So pretty exciting stuff going on.
Chris Howe: It is, it is, definitely. And maybe this one is for Andy, how should we think about the distribution or rate of the accounts receivable conversion in the early part of '17, would be able to provide any color at this time.
Andy Brown: Yeah, so -- and yeah, you're talking about I believe, you're talking about the Ingram receivable that we have....
Chris Howe: That’s correct.
Andy Brown: Yeah, okay. Just want to make sure clarity there. So $36 million as I’ve mentioned earlier at the end of this past quarter, we anticipate as we get through the end of the year, probably going to be somewhere between $20 million and $25 million with the majority of that being collected probably mid February to mid March next year.
Chris Howe: Okay. Thank you for taking my questions. I’ll hop back in the queue.
Dan Rosensweig: Thank you very, very much.
Operator: And our next question comes from the line of Brian Fitzgerald from Jefferies. Please proceed.
Brian Fitzgerald: Thanks guys, question around Tutors. How variables and pricing there and how do you see the supply-demand dynamics running up as we end this fiscal year and in terms of supply-demand you noted strong growth expected for the next several years. Do you feel like stronger growth could tweak or offset or disrupt the balance there, how should we feel about being able to associate the demand running through school here?
Dan Rosensweig: Seriously, it's really critical question that you asked there. So the good news is we haven’t seen any difficulty driving demand and because of the changes that we made after last fourth quarter, which is Tutor outreach notifications, which we're able to now predict better which subjects, which days of the week, what time and date it notified Tutors, we’re seeing ramp it. So its early, we’re going to always see record numbers for the next few quarters and years, but we are seeing really great reception in terms of -- I think we articulate over 65% growth in Tutor minutes year-over-year just as an example. So in Q4 we would not have been able to handle that. So we are now in a position to handle the demand that we think we can drive over the course of this year and we continue to pickup Tutors. We think Tutors is making a lot of money here. So we're having no trouble finding Tutors now. Our tools about predicting when the volume will come in subjects, time and day, day or the week, all those things are improving. So we are able to notify Tutors in advance. So we're seeing really good pick rate in terms of students being able to get a response within five minutes. So we're not moving much business there at all. So we don’t see a situation in with the rest of this year and hopefully next year. We'll hit a saturation point. In terms of variability of pricing, I just want to remind everybody where we are. Today we have the capability in the technology to build the same price -- to pay the Tutors $20 bucks an hour and chart the students. We don’t have real variability in pricing except when you buy subscription or if he do it by the minute. And we can do it as low as $0.40 a minute if he do it by subscription or $0.75 a minute if he do it by the minute. In the future we are building technology today that will allow us to think about it like, we have UberX, you have UberSUV, you have Uber car pool. We'll be able to allow students to come in and pool Tutoring to make it cheaper but it will actually drive more revenue for us in that hour. We’ll continue to have the fixed price per hour that we do now and then we’ll be able to either differentiate by subjects or by the resume of the tutor to be able to charge more if people want that. So we're building all that capability now, but the most important thing for the rest of the this year and next year is getting us the supply and demand right and we made some extraordinarily great progress on that. But Tutor is -- it's the on-demand human held aspect of learning is a category that we think is just going to enormous. There is never really been a place for our students, a collage for on their own, to get on-demand liver Tutoring any time day and night in any given subject and its really pretty special, what we see though on the volumes are really high.
Brian Fitzgerald: Great. Thanks Dan.
Dan Rosensweig: Thank you.
Andy Brown: Thanks Brian.
Operator: And our next question comes from the line of Matt Blazei from Lakestreet Capital Markets. Please proceed.
Matt Blazei: Thanks. Great quarter, guys. A couple of quick questions, Andy first you said you ended the quarter with $50 million in cash, I was wondering if you have any guidance where you might would be ending the year?
Andy Brown: Yes Matt firstly I thank you. We thought we had great order too. As we look at the cash balance you're right, we ended this quarter with $50 million. We think we will exit the year somewhere in the $50 million to $60 million range. On top of that as I mentioned earlier we will have the $20 million to $25 million receivables, we will collect in early 2017 from Ingram.
Dan Rosensweig: And we think it's important for people to know that we are – we generate a lot of cash and we're able to generate free cash flow and that is something that is new to Chegg and that is pretty exciting for us as well.
Matt Blazei: And secondly you said when you made the acquisitions of Imagine Easy, you probably would add $7 million in revenues and $2 million in EBITDA through this remainder of this year, is that still the range?
Andy Brown: Absolutely, I mean we have been thrilled with the acquisition of the Imagine Easy, as you said the $7 million on the revenue and $2 million on EBITDA. I think that will again -- that’s a range of what we anticipate and on top of that quite frankly the integration is going off. It's a great team and we couldn’t be more excited about adding Imagine Easy and Writing Tools to the Chegg portfolio.
Matt Blazei: And that’s just in a half year?
Andy Brown: Matt, you're absolutely right, that’s a half year. So we will be excited about getting a full year behind us and like I said on the last call, Imagine Easy is growing about – right about the same rate as of Chegg Services. So it is once getting type of business from great positive EBITDA.
Matt Blazei: All right, thank you guys.
Andy Brown: Thank you.
Dan Rosensweig: Thanks Matt.
Operator: And our next question comes from the line of Corey Greendale from First Analysis. Please proceed with your question.
Ken Wang: Hey thanks this is Ken Wang on for Corey. First of all congratulations on a great quarter guys.
Andy Brown: Thank you very much.
Ken Wang: So just wondering – just thinking about the Imagine Easy transaction, any view on the -- I know that there was a possibility that there were some contingent payments associated with the transaction, any update on that?
Dan Rosensweig: Yes so it's maybe clarify or remind people of the way we did the deal. So we paid $42 million for it and the way Andy structured the deal, which was terrific for us is just we pay about $28 million this year and $23 million next year. The contingent payments are about $6 million a year for over three years and we have the ability to use cash or stock that’s our decision at the time and it requires them to stay on to get -- so if they're not here for third year, they're not going to get it. So this was really to make sure that the two founders and management teams stayed on to do the full integration over three years. So we weren’t only small percentage of it was tied to hitting the numbers of this year, which right now we assume that they're going to do. We don’t see any reason why they wouldn’t, but it's really to make sure that we did the full integration over three years and so there is payments that are spread out and the good news about the business is in those out years, the business will generate enough cash to pay those payments itself. So it's really smartly structured deal by Andy and our team to do that.
Ken Wang: Great, thanks for the insight on that.
Dan Rosensweig: You bet.
Ken Wang: And then just thinking about, so you mentioned for Test Prep and the monetization which sounds like it's begun now, so now it sounds like a language in your prepared remarks changed a little bit, but if shifting to 2018 for a more revenue contribution, I think maybe in the past they’ve been more focused on 2017, has your thinking changed around that or any further comments on that?
Dan Rosensweig: No our expectation is to have been a 100% consistent. We said meaningful because we expect this year, we will get the first real pass at Test Prep probably in the September timeframe when the real testing begins to happen will be last minute seniors who are going to apply in November and December and that timeframe and it will be juniors. But we expect to grow it over the course of next year and so it will have an impact on next year, but I think the word we chosen was meaningful because if it grows the way we expect it to grow, it's a really high gross profit business like our other businesses because if the technology once you’ve written a software, it's all software and technology and so it's write once, use many times. So it should have a significant impact in 2018, but it will have an impact in 2017. So everything is exactly at the moment as we hoped. It's really an amazing product if you have another chance to use it.
Ken Wang: All right. Thank you, again.
Operator: And our next question comes from the line of Mr. Mike Olson with Piper Jaffray.
Mike Olson: Hey guys. Good afternoon. You mentioned Chegg Tutors being one of the fastest-growing components or the fastest-growing and I was just wondering how does the margin profile for Chegg Tutors specifically compared to the other Chegg Services segments? So Chegg Tutors is great in a sense that it obviously increases the addressable market dramatically, but just curious is it relatively less positive for margins than the other Chegg Services segment?
Andy Brown: Yes, So Mike yes, you're right. Just so people on the phone that don't know, our overall Chegg Services margin is right around 8% today. There's businesses that are higher than the average which, for example, Chegg Study or our advertising business. And then there are some that is less than the average, and then Chegg Tutors at this point will be one of those. Part of it is it hasn't got to scale yet, while it's growing as fast as it hasn’t gone to scale and the second is there is a component of Chegg Tutors that is variable, which is the tutor cost. So we would expect, even as you get to scale, it would be lower than the 80%. But overall, we would also anticipate that it would contribute to the overall EBITDA margin.
Dan Rosensweig: Well, we would expect just the gross profit to be over 50% As I said earlier, as it gets to scale and as we build the ability for different variable pricing of group tutoring and so for example, today, if a student will pay maybe $25 an hour on average or something like that, you can imagine for right students paying $10 each for that period of time. So we think, over time as it gets to scale that gross profit margins like all of our other businesses get better. But today, we are investing in that business because we see it at one point maybe large business we have when you think about on-demand tutoring any subject, any language anytime day or night, is extraordinarily powerful, and it has the ability to expand globally. We just couldn't be more excited in that business.
Mike Olson: Right. That makes sense. And then different topic, what are you seeing competitively in recent quarters? I remember around the time the IPO competition was a huge topic for the story, but it's quite down quite a bit since then, just curious what you're seeing out there in the various areas of focus?
Dan Rosensweig: Well, it's funny that you raised that because July 31 is a 9-year anniversary of Chegg as a Textbook rental company. And we were talking about it today with the management team what we've been through. And one of our biggest online competitors at the time, Amazon hadn't entered the market yet or Lenovo hadn't entered the, it was book renter are not only gone out of business, but they're directing the traffic now to us as an example. So things have changed dramatically. When we think about the competitive set for textbooks, it's who think it is, it's a local bookstore which is made up Barnes Noble mostly and then Amazon, but textbooks have become a much easier for business for us to operate since we now -- as Andy said, we have about $12 million worth of our inventory left and next year, we'll none. So it all goes out of the warehouse. We have technology that allows us to price that we're doing over 6.5 million books a year and we don't expect that to be a growth business because it builds our recent get the data and making significant impact positively on the growth of our businesses so we contain that business to a point where from a competitive standpoint, there's not much risk in the business anymore additional cash views we don't have inventory that can be depreciated or not or that will have warehouse. All that is behind us. On the competitive front for the rest of the businesses, there is nobody yet that is trying to do what we're doing which is help a student get in the college. get the Required Materials for less, all that outcome match them to Homework Help. And Chegg Study is really a phenomenon. You think about the fact that we've now had the business now for five years, and it's growing as fast this year as it did last year on top of a much higher number. And when you look at the engagement for it, still using weekly on average and consuming 81 different elements of whether it's a solutions page or expert answers. So these things are just at the beginning. So we don't have anybody competing with us across the board not for internships, not for careers and the collective, the key is having built a huge brand, getting a reach a 40 million and being able to drive students through the network, and that's why we reported out on things like the attach rate and what percentage of the tutors come from Chegg Study. So at the moment, with the exception of textbook, there is nobody on the commercial side that is competing with any of our other homework products at the moment. On the tutoring side, you've got Kaplan, Princeton Review but those are $1,200. And ours are on-demand online only per minute. And so no one is doing that yet. And in Test Prep, we only started with AZT and SAT. We really only started AZT and 3.2 million students a year take that, and we're pricing it at the price of the book, which means that about 65% of all kids who take those tests by the book. So it's going to be $60. So we're not even going to be competing with Princeton Review or Kaplan or an expensive local tutor. We're just going to be low-cost, high-quality, high-volume because it's software, the gross margins are really high. So at the moment, we feel like we've got the momentum that we've been looking for over the last couple of years.
Mike Olson: Yes, I wish I had there when I was in school. Thanks a lot.
Dan Rosensweig: You're always welcome to go back.
Operator: And our next question comes from the line of Mr. Douglas Anmuth from JPMorgan. Please proceed with your question.
Unidentified Analyst: Hi this is [Lenor] on for Doug. Thanks for taking my questions. How are you thinking about back-to-school demand for textbooks in terms of unit growth and pricing? And are you planning differently this year versus other years now that you're mostly out of the first party textbook business? Thanks.
Dan Rosensweig: Yes, we plan the same, which is we have extraordinary detailed planning. And if you look at the way we've instrumented every one of our businesses, we have the ability to monitor business five minutes whether it's Chegg Study or tutors or textbooks. We have a very sophisticated pricing mechanism, which allows us to understand the volume we have, look at the demand we're having hours is what we expected and looking at competitive pricing. So the planning has been in place. We plan a year in advance and then every month we update and as we get into the rest, it gets updated every 15 minutes because we have the technology to do that. We said over the course of the last year, we look at textbooks as a business that we don't intend to try to grow or shrink, that it's really large. We have about 6.5 million units that we do that makes us a very significant player. We focus on the books that connect to our Chegg Study product and our tutoring categories drives demands through the rest of the network. So we get great advantages over that. And we look at it as a way to build our brand, increase the reach into our other products, get the data and get the credit cards. So collectively, we expect to share between textbooks and other businesses to have over five million paying customers, 10 million visitors a week and 40 million for the year. So whereas textbooks three years ago, is the entire business took $120 million in cash. Now it takes zero cash and our ability to continue has only gotten stronger. And we don't think about trying to grow textbooks more. We think about as maintaining and growing the rest of our businesses, which is why you're seeing the acceleration of our growth and our gross margins and our revenue and EBITDA and cash. So the program that we wanted to put in place is really beginning to see the light of day these days.
Unidentified Analyst: That is helpful. Thank you.
Dan Rosensweig: You bet.
Operator: And our next question comes from the line of Jeff Silber from BMO Capital Markets. Please proceed.
Jeff Silber: Thanks so much. Just was hoping to get a little bit more color on the Test Prep business. I mean you talked a little bit about it earlier but I just wanted to confirm is this completely online and no human interaction between tutors and your students?
Dan Rosensweig: So what it is, is software. It is we think that everything for the modern day student needs to be online, needs to be 24/7, needs to be available in every device, needs to be self-help, needs to be adaptive, and that's what we built. So you can get in and you can watch videos, you can do text, you can go through the system as we design it, you can go through the system the way you want to go through the system. You could take a practice test for the full three hours, you could take it for five minutes. You can compare yourself to previous test. You can use it as often as you want. There are more practice tests in there than you'll ever get out of the book, so it goes on forever. So it is all software, which means it should have extraordinarily high margins as it gets to scale. Having said that, we also because we're the only company that have it, if you're stuck and you want human help, you then can click on a tutor because inside the software, it tells you on any given page that you're on for that subject if there's a tutor available, if that tutors is live and you can immediately click on and if you want that you can pay for the tutor. So you can pay for it for three minutes, you can pay for it for an hour. So the software is software. It's self-help adaptive, interactive, on-demand and because we're the only company that has a big advantage we have is if you want to get tutor, you can. It just cost you more.
Jeff Silber: Actually, you had anticipated my next question, I was wondering about the interaction between that and your tutoring business. But let's say, I don't want the tutor what do you charge for the software?
Dan Rosensweig: So it's about -- think about we do it by -- we're going to have three prices, the months, the quarter and six months. So for parent it's slightly going to be six months. If a student buys it, we have discovered to all of our testing, they start about five weeks ahead of time. So we expect them to do the month or the three months, but you can assume the price for about three month on average would be about $60 which is the cost of buying the book itself. We really wanted to compete with a two and half million or three million people that buy that book, because why would you buy a print book that isn’t adaptive, doesn't adjust, doesn't have video, can't let you go back and look at everything that you've done, teach you the specific subjects. So we think that's the big market for us, but its $60 per quarter approximately.
Jeff Silber: Got it. And you had mentioned you had SAT product as well. Will that be launched as a paid service?
Dan Rosensweig: I think, October, later in the fall. So what we do with everything, because our brand depends on the super-high quality and that's why Chegg Study has become such a beast. It's a beast in growth, it's a beast in brand recognition, it's a driver to tutors, it's a driver to the brand, it has 85% or more gross margins. It's an amazing business, but we took a bunch of years to build it right. And so we want to do here, we start with an ACT which a little bit easier, because SAT was a brand new kind of test, and we wanted to make sure the software works, the technology works, the students were reporting better grades. We've done it in practice. We've had 60 students coming here, take a practice test and a month later, the same 60 came in after using the service, we can monitor everything they do. We know what part they use it. So we want to get it great FERC in the ACT and then SAT will be about October, and then you can start thinking about things in 17 and 18 in the GRE and the MCATs, LSATs and CSA and the software works in any standardized test. It's the content, the experience that we will build out over time.
Jeff Silber: Got it. Appreciate the color. Thanks so much.
Dan Rosensweig: You bet.
Operator: And our next question comes from the line of Mr. Aaron Kessler from Raymond James. Please proceed.
Aaron Kessler: Yes, hi guys. A couple of questions. Good quarter. First in terms of the Chegg Study attach rate I think you said up 30% year-over-year. Do you have a rough approximate where the attach rate is today? I want to say it was in the low teens last time you provided an update there.
Dan Rosensweig: Yeah, we look at, we work at the exact number, but the way we think about it is, there are two things. There's the attach rate versus the total text per catalog and then there's the attach rate versus the catalog of which the books and the Homework Help are connected. It's substantially above the mid-teens for the category where we actually have a specific Homework Help for the book. But one of the really cool things that’s happening is because of the expert Q&A, and I mentioned in my prepared remarks, that there are as many questions were asked and answered in the first half of this year there was for all of next -- all of last year. And what that means is students are going beyond just where we have the solution of the book. They're going to expert Q&A for books that we don't get have in there. So it's becoming even more powerful because of expert answers. But the overall attach rate is above 20% for textbooks to books that we have, which is -- it's not a number we plan to report on a lot. So I don't want to give the specific number. But we wanted to let people know that the system of driving textbooks to Chegg Study and Chegg Study to tutors, which is the way we're building Chegg, which gives us high reach low cost of customer acquisition, retention and a higher lifetime value that it's actually working.
Aaron Kessler: Great. Is there any update on advertising services, enrollment marketing and brand partnerships? And then for Andy, CapEx goes $14 million in the first half of the year versus about $4 million last year. Just trying to get a sense for what that incremental investment was and if you have an updated outlook for the year for CapEx?
Dan Rosensweig: Yes, I'll do the first part. Andy will do the second part. So we didn't talk a lot about the air businesses on this call for two reasons. For the EDU business, the second quarter is not a big time for that business nor is the third quarter, because most colleges use us for lead generation as you can imagine at the time of the year where students are applying. So it really starts to come into play in September, October, November, December and then a little bit in January and then a little bit in April after school don't get the student enrollment that they hoped. So it's more of the first quarter thing and a fourth quarter thing than it is a second quarter thing, but the enrollment business is doing as we expect it to do. The brand business is having and again, it's always in our numbers. We're having a great third quarter. So we mentioned some of the partners on the call and the press release, but in addition to the ones, we have Starbucks and Red Bull and Tide Pods. So we have people like Tide putting over a million products, distributed to students in the second half this year alone. So that business is -- again, it's not big yet, but it's growing nicely. But we expect now that we've doubled the reach to $40 million, that over the next couple of years, if you’re a band that wants to reach a student middle school, high school or college, there will be no larger, no more efficient and no more data-driven marketing channel than Chegg. So we continue to have big music artists that work with us and the brand that I just mentioned to you, the ones that are in the box for Q3 end-use other digital networks they've all been with us for several years now and have operating their accounts. So, it's beginning to get more traction but it's just not as bigger part of the business as say, Chegg Study or Tutors or those things at this point.
Andy Brown: Aaron this is. Andy. Your question on the CapEx, I think when you think about CapEx with Chegg, it's a little bit of a misnomer. Most people think it's buildings and things like that, but we also capitalize a lot of our content costs and things like that. And so what we're doing is rather than investing in our future. So there’s several things that we're investing in this year that you're staying in the number and then it will continue throughout the year. We're investing in with the publishers. We bought some content from the publishers, particularly around the questions with textbooks where we can -- where we are indexing and it increases the SEO juice. We’re actually investing in our commerce platform. In fact, Dan talked about that a little bit earlier, our ability to offer multiple different offerings, particularly around in the subscription side, so we're making investments there. And we continue to invest in content where we added about 4,000 books last year, for example, to Chegg Study. We continue to invest in those, and those get wrecked into what you would consider CapEx. For the year, probably somewhere between $20 million and $25 million total for this year, but once again, it's taking the cash flow that we have in the business reinvesting it in the business and being able to grow the company.
Dan Rosensweig: Yes. One of the wonderful things that we can say for the first time since we've been public is we generate a lot of cash from operation and we're investing we believe very wisely, as Andy just articulated, in content for Chegg Study, in the expert answers, in the tutoring business and Test Prep in careers. So we're making really what we believe to be smart investments today in businesses that will have a great impact going into the future and even while we're doing that, we're able to grow our cash flow and be EBITDA positive. So this is something that has never been the case with Chegg. So this is a complete turnaround as a result of doing the Ingram deal and that partnership, which is working out extraordinarily well and the strength and the growth rates of our digital services and just how much gross profit they produce. So we're producing a lot of operating cash flow that we're reinvesting in the business that's helping us grow faster and ultimately be more profitable. And that is a big change since Chegg went public three years ago when we were spending all of our money on textbooks and generating almost no positive cash from the operations. So this is a really monumental time for us.
Aaron Kessler: Got it. Great. Thank you.
Operator: [Operator Instructions] There appear to be no further questions at this time. I'll turn the call back over to management for any closing remarks.
Dan Rosensweig: Well, first of all, thank you everybody for joining the call. As you can see, we had a really great first half of the year. We're expecting growth in the second half of the year, faster than the first half of the year. Our new businesses are beginning to get the kind of traction and the integration that we'd hoped for. And being a company now that has no debt, has over $50 million in cash, is able to produce free cash flow and turn our operating cash and investing in the future as a place of never been before. And we think that that really bodes well for the future value of the company, for our shareholders and for our students. And with the reach of $40 million and $10 million a month and over $5 million paying customers Chegg is really becoming something special in the direct-to-student education space. The trends are moving in our favorite as the business but most importantly, if you were inside the company, and you saw the feedback that we get from students where they’re thanking Chegg for helping them pass the class, get a better grade, graduate on time, lower their cost. It's really -- it's a great feeling to work here. We're grateful to all of our employees for their extraordinary execution and commitment to the company and happy ninth birthday to Chegg as eTextbook rental company, and thank you all. We'll see you next quarter.
Operator: Ladies and gentlemen, this does conclude our teleconference for today. We thank you for your time and participation, and you may disconnect your lines at this time. Have a wonderful rest of the day.